Mateo Toro: [Audio Gap] [Operator Instructions] And we will answer your questions at the very end of this event. Next slide, please. Joining us today are Jorge Andrés Carrillo, President of ISA; Jaime Falquez, VP of Corporate Finance; Gabriel Melguizo, VP of the Energy Transmission Business; Patricia Castaño, VP of Corporate Strategy; and Natalia Pineda, VP of Road Concessions. The conference begins with Jorge Carrillo explaining the highlights of the third quarter of 2025. Next, Jaime Falquez will present the financial results. And lastly, Jorge will give some closing remarks and lead the Q&A session. Next slide, please. So we can leave you with Jorge.
Jorge Carrillo Cardoso: Thank you, Mateo. Good morning, and thank you all for joining us today. Next slide, please. Let's look at the highlights of the quarter. Let's begin with the great news, which is the commissioning of the Cuestecitas-Copey-Fundación interconnection in Colombia, which is key for energy transition. It's the first connection in La Guajira at 500,000 volts to transport solar and wind energy of the region towards the main consumption centers. This project cost $147 million and included 270 kilometers of transmission lines and the expansion of 3 substations for the northern area of the country. The project has high social commitment and includes the latest technology to optimize space, minimize losses and reduce the environmental footprint. Next. Aligned with our strategy to be a relevant player in energy transition, in Colombia, we enabled 2 solar farms contributing to reliability and capacity of energy supply in the Colombia Caribbean. In the Atlantic Coast, we connected the Guayepo III Solar Farm to the Sabanalarga substations. It's of 200 megawatts and will generate enough power to supply about 766,000 people. While in Valledupar, we connected 3 solar farms of 19.9 megawatts each to add almost 60 megawatts of clean energy for the country and the region. Both cost about COP 55 billion. Next, let us look at expansions, reinforcements and improvements. We are constantly implementing reinforcements and improvements of the grid to keep it at optimum levels and to continue providing reliable service. During the quarter, we commissioned 22 reimbursements for the grid of ISA ENERGÍA BRASIL, and we were awarded 2 projects in Colombia. We were awarded 2 expansions. Next, please. We chose the Colombian Atlantic Coast to drive the new business of energy solutions, one of the fundamental pillars of our ISA2040 Strategy, which can represent about 23% of our investments, we have more than 40 years operating in the region and more than 100 municipalities. So with this new bet, we aim at the segment of energy solutions with solar farms for large consumers and to store energy, which has high potential in the country. Next. We will be resetting the energy business to focus and consolidate in a single subsidiary, the energy transmission in Colombia. This plan has to do with the challenges of the business and opens new opportunities to consolidate our new business, Intercolombia. Transelca will continue being the owner of transmission assets and obtaining the approval from CREG, while Intercolombia will be in charge of the construction, administration, operation and maintenance. These changes will give us benefits such as consolidation of capabilities, a new Intercolombia that will exclusively focus on the transmission business for the operation and maintenance of high-voltage infrastructure and a new Transelca for the new businesses from the Colombian Atlantic Coast, as I mentioned before. We are beginning a transformation business that will allow us to have the biggest capacities and implement efficiencies to become leaders in energy transition. Next. Moving on to sustainability. We were awarded 2 first places in the Regional Energy Integration Commission, CIER, 2025 awards in Colombia. Conexión Jaguar won the first place in the decarbonization category, and we got another award in the innovation platform category. The CIER awards recognize initiatives that transform the energy sector through innovation, social and environmental impact and value for society. During this quarter, we were included in the list of Forbes of the 50 companies leaders in sustainability in Colombia in 2025. In this list, Forbes recognize the companies in Colombia that have shown their commitment to sustainability, show concrete operations, and they consider that sustainability is an opportunity to create value on a long-term basis. Next, honoring as well the commitment we made at the COP16, we implemented the first of 2 -- more plants and native species at the Moorland of Chingaza to host 4,500 seedlings. Now let's talk about investments. During the third quarter of 2025, investments for COP 1.7 trillion were made to reach investments of COP 4.4 trillion to date, 38% more than what we invested in the same period of 2024. The graph in the middle shows the distribution of CapEx by geography and the one on the right-hand side, the distribution by business segment. So far this year, 90% of investments were in the energy transmission business, 8% in roads and 2% in telecommunications. Brazil represented 60% of CapEx with an execution in 5 projects bidded and awarded by ANEEL in the prior period and advancements of 192 reinforcements, improvements and renovations through the power grid of ISA ENERGÍA BRASIL. Colombia instead represent 18% of the investments ISA with physical developments made in 6 projects awarded by UPME, 5 currently executed by Intercolombia and 16 renovation expansion projects of the installed capacity of ISA. Peru executed 8% of investments, developing projects to enhance the grid and accelerate energy transition. Chile represented 10% of the investments made. In energy transmission, we advanced building 6 projects, including 4 expansions of the grid and 2 bidded, plus it entered the portfolio construction of the Palmas-Centella project, which was awarded the prior quarter. In roads in Chile, we still have the Orbital Sur Santiago Road as well as complementary roads. To end, 4% of the investments were destined to Panama to developments to revamp and maintain the Panamericana Este road. Next. Investments to execute from 2025 to 2030 rise to COP 31.1 trillion. On the left, we can see the distribution by geography and by business segment. It's important to highlight that we expect that these investments once commissioned, will have additional revenue of about COP 1.8 trillion. The investments consist of commitments of investment of bids and awards given in each country where we operate as well as improvements of the ISA grid in Brazil, among others. On the right-hand side, you can see the annual projections of the execution of these investments. The total of 2025 of COP 6.5 trillion includes the COP 4.4 trillion that we invested until September. Today, we advanced in the construction of 34 projects distributed at 31 projects for energy transition and 3 on roads, which add to about 5,153 kilometers of lines and interventions of 296 kilometers of roads. So now let's give the floor to Jaime Falquez, who will explain the financial results. Next slide, please.
Jaime Falquez: Thank you, Jorge. Let's look at the next slide, please. Good morning, everyone. It's a pleasure to be with you again sharing with you the results of this quarter. I'd like to begin this financial chapter, highlighting the positive performance of our operating indicators, highlighting as well several special events that impacted the financial figures of the quarter and accumulated, but that do not commit the financial soundness of the company nor the execution of its investments framed in meeting the strategy. Let's remember, which were the special events. We have one that took place in the third quarter of 2024, which had an impact that was positive like in Brazil, which recognized the effect of the regular tariff revision, which had a positive net impact in 2024 of COP 875 billion and also an impact on the net profit of COP 207 billion in 2024. In that same quarter of last year, in Peru, we made an adjustment in the estimate of the reserve for major maintenance, which implied a higher EBITDA of COP 173 billion. Now if we look at the third quarter of 2025, we also have a series of special events but with an effect that's different. We see that at the ANEEL Board of Directors, this year, they decided to reconsider the calculations presented to pay the financial Basic grid (sic) [ Network ] of the Existing System component. We talked about this last quarter, which had a negative impact on the EBITDA of COP 594 billion, an effect also on the profit of ISA of COP 140 billion. Also, we still update the reserve of Air-e for a total accumulated COP 233 billion in these 9 months of 2025. Remember, the intervention of Air-e was in September last year. And therefore, in the third quarter, the reserve was much slower. As Jorge mentioned, in addition to these special events, we still increase our pace of investment to honor our commitments to 2030, reaching a total of COP 4.4 trillion from January to September of this year, 38% higher than the same period of the year before. In terms of capital structure, we keep the debt at optimal and efficient levels within the ranges suggested by the rating firms to keep our international investment degree. This is reflected in indicators like the EBITDA debt, which closed at 4.1x. To complement the above, this third quarter, Moody's ratified the risk rating of ISA as an international issuer at a rate of Baa2 with an outlook that's Stable. And it's an international rating. And remember that Fitch in March already ratified the rating of BBB also on the international scale. So with these relevant events, let's look at the next slide, please. When we look at the results on this slide, we can see the main figures for the first 9 months of the year. where we can see the EBITDA on the top of the slide and net profit on the bottom. When it comes to the same period compared to last year, the EBITDA was at COP 6.6 trillion, which shows a reduction of 13%. And in the middle, you can see the operating performance without keeping in mind the special events of 2024 and '25 that I just mentioned in the highlights. In this context, it's important to highlight the EBITDA that grew from 13% compared to the same period of 2024, explained by the commissioning of new projects, new revenue, also the positive effect of the contractual scalers, which is the update of rates in different countries and concessions because of macroeconomic effects and index that recognize the inflations, also higher revenue from co-controlled companies and higher revenues also from road concessions. In terms of the distribution of EBITDA accumulated by segment, we can highlight that Energy Transmission has a share of 83%, Roads 15% and Telecommunications, 2%. As far as the net profit, earnings of the semester added up to COP 1.9 trillion, reflecting a decrease of 17% compared to the same period of the year before because of the special events that I just explained. Excluding these events, the net profit generated by the operation would have increased 7%, explained mainly by the higher EBITDA, which I told you about and contrasted by the higher income tax and more financial expenses because we financed projects underway. On the bottom right of the slide, you can see the distribution of net profit by country. I'd like to add this slide that our operations have a positive performance. We are driving our projects, generating new revenue and updating our revenue according to applicable contractual scalers. So let's look at the next slide, please. In terms of the balance sheet, at the end of September, we can see our sound financial situation with assets COP 77.7 trillion, which showed a slight increase compared to December of 2024. Net movements of the asset are explained by the development of the construction of projects, higher yields of the concessions, which are partially compensated by the conversion effect to the Colombian pesos from the results of different countries, the decrease of cash flow as a result of the payment of dividends, the debt -- service of the debt and CapEx disbursements made. In terms of liabilities, these decreased 0.5% compared to the end of 2024, mainly explained by the lower effect by conversion and compensated with higher financial liabilities, which support the new projects to finally have an equity of COP 17.8 trillion with a stable performance compared to what we saw in December 2024. And this really obeys the -- because of the dividends decreed and the compensation of profits that we're seeing this year. Also, the minority interest grew 8%, driven by the results of Brazil and Peru so far this year, added to the effect by conversion. Next slide, please. So we could talk about the debt. As of September 30, 2025, the consolidated financial debt ended at COP 34 trillion, COP 1.5 trillion below what we saw at the end of 2024. The net movement of the debt of COP 506 billion is mainly explained by the effect of conversion, amortizations according to the schedule of payments, the issuance of debentures in Brazil, remember that the debentures are papers of debt in the capital market local and disbursements received according to the investments plan. Among the main operations of debt during the first semester of this year, we can summarize that ISA ENERGÍA BRASIL issued debentures to cover needs of investments for a total of BRL 1,980 million, which is equivalent to COP 1.4 billion. In Colombia, disbursements for the investments plan for COP 400 billion. In Peru, disbursements of bank loans of $22.5 million. And lastly, in Chile, ISA Vías Chile received a banking loan disbursement for an equivalent in Colombian pesos to COP 350 billion, mainly for contributions to new projects, especially Rut del Este in Panama. With regards to the indicator of the net profit over EBITDA, it closed at 4.1x, showing that we have proper indebtedness levels with a mean life of our debt of 9.03 years. And this is really aligned with the nature of our businesses on a long-term basis, keeping this way the stability and strength of the company's equity. So with this, let's give the floor to Jorge, who will give us some closing remarks.
Jorge Carrillo Cardoso: Thank you, Jaime. Let's look at the next slide, please. I'd like to end this call highlighting that we are strengthening our structure and capabilities in Energy Solutions to prepare to be major players in energy transition. We keep a sound and growing operating performance, gaining new bids and executing our investment commitments. So far this year, we have an EBITDA of COP 6.6 trillion and a net profit of COP 1.9 trillion. We are still recognized because of our management and actions in favor of sustainability, which is fundamental for our strategy. We've increased the investment pace according to our strategy and meeting the commitments, which by 2030 will add to COP 31.1 trillion. We have financial health to continue growing and to have an investment degree rating. Thank you again for joining us today. So let's begin our Q&A session.
Mateo Toro: Thank you, Jorge. Let's begin then the Q&A session. And let's begin with a question made by Florencia of MetLife. Could you give us an update on INTERCHILE and the sale of the telecommunications business? And for this, we'd like to thank Jorge Carrillo, if you could begin talking about the telecommunications business and then Gabriel Melguizo to give us an update on the Chile.
Jorge Carrillo Cardoso: Sure, Mateo. In terms of telecommunications, we're still following our 2040 strategy. And as an update to date, we have not accepted any offer that we've received.
Mateo Toro: Thank you, Gabriel. Could you talk about INTERCHILE?
Gabriel Melguizo Posada: Thank you, Mateo. Good morning, everyone, and thank you, Florencia, for your question. Florencia, and for all, we have an update of INTERCHILE in several fronts. First, regarding the shutdown, we're convinced as we've said -- as we've heard the National Coordinator of Chile say that the assets of transmission of ISA ENERGÍA CHILE or ISA INTERCHILE was not the cause of the massive shutdown on February 25, 2025. On August 4, the superintendency of Energy of Chile charged against the national grid and 8 companies of transmission energy because of their very eventual responsibility of the massive shutdown in February. In this process, the superintendency made 2 charges against ISA ENERGÍA CHILE, and we presented our discharges. The other players involved also presented their defense. And with this, the superintendency should issue resolutions and eventually determine the sanctions. And there is no date for that yet. That's when it comes to the shutdown of February 25 of this year. Now when it comes to the business, INTERCHILE continues growing. You know that we have a big project there. And it's going very well underway. We have other projects with new technologies, Palmas-Centella is a project with new technologies with flow deviators, which really helps for the energy transition. And let's not forget that we are also part of a consortium in Chile that we're building the line of direct current that goes from Santiago to Chile to the north to the Atacama Desert. And it's assumed that it's the largest energy transmission project there. So we could update you on this, this way, Florencia. Thank you for your question, again.
Mateo Toro: Thank you, Gabriel, and thank you, Florencia, for your question. We have a first question from Andrés Duarte. He says, you reserved COP 234 million of Air-e. What is the -- what do you expect for next quarter between you, ISA Colombia and Transelca? Let's listen to the answer.
Jaime Falquez: Thank you, Andrés, for your question. The pace of invoicing of Air-e consolidated of the companies in Colombia is of about COP 33 billion by month, of which 14%, which corresponds to Conexión has been paid. So the accounts receivable monthly that we've reserved is at COP 28.4 billion. We're saying that by quarter, we're reserving about COP 85 billion, which is, if we continue with the trend, potentially, we can be accumulating this figure by the end of the year.
Mateo Toro: Thank you, Jaime, for your response. Next question from Andrés as well, and it's for Jorge Carrillo. Can you please repeat or expand on what was said early on that 33% of the CapEx could be represented. He wants to see if he understood well.
Jorge Carrillo Cardoso: Thank you, Andrés. Yes. When we created the 2040 strategy, we talked about a figure close between $25 billion and $30 billion, of which 42% of that will be destined to the energy businesses, which consists of self-generation, photovoltaic and storage and on large scale. So the percentage is correct.
Mateo Toro: Thank you, Jorge. Next question, also from Andrés. He asks, when do you expect to make the first bid of storing -- of electrical storage in Colombia? How have you been doing with that technology in Brazil? Jorge, could you give us -- help us here with these questions?
Jorge Carrillo Cardoso: Let me begin talking about Brazil. This is one of the best projects because of its effectiveness and its execution. This project is set in Registro in Brazil, and it was going to help with the peak demand, and it was very, very effective to the point that's become a place where everybody is visiting, regulators and even competition because they want to see the storage in operation. This was done very quickly, and it surpassed the regulators' expectations, and we're very happy to be pioneers using this technology in Brazil, and we plan to do it in the region. In 2021, this bid was not given to ISA. However, we are aware that it hasn't been able to begin the execution. There is a new project, however, from the CREG to regulate the storage. And this, of course, will open new opportunities for ISA and its companies at least in Colombia.
Mateo Toro: Thank you, Jorge. We have another question from Jorge. Sorry, I'm not giving the name of the company, and it's in 4 parts. Let me just read one by one. The first, are there news of the sale of the roads business? Jorge, this -- let's hear your answer first.
Jorge Carrillo Cardoso: Sure, again. First, remember what's part of the strategy? Let me begin by saying -- or the businesses that have a disinvestment were declared like in that case, in telecommunications. In the 2040 strategy, we have 2 pillars that are in effect to increase the road business strategically and to dynamically move our portfolio that includes vehicles and businesses. We're working on both pillars. We do observe that there is a particular interest to explore or that we've heard at least interest to explore in the roads business. But right now, we're just listening to their interest, but we're still determined to strategically expand this business.
Mateo Toro: Thank you, Jorge. Second question, at what stage is the possible commissioning or operation of the energy transition in Argentina buying Enersa? Jaime, could you help us?
Jaime Falquez: Thank you, Jorge, for your question. Within our 2040 strategy, it's important to highlight that indeed, the energy transmission business is still one of the pillars in terms of the region. So we're always evaluating opportunities and new geographies. Now for this case that you're asking us about, Jorge, we have nothing specific right now on that opportunity.
Mateo Toro: Perfect. Jaime, thank you. Next question, also from Jorge. We have others, but let's answer his. Tell us about the development phase of the project in Panama.
Jorge Carrillo Cardoso: Jorge, thank you for your question. When it comes to Colombia Panama, there are several things to say. First, for a project like this overall, in all of the regional integration processes, we need the will and commitment of the governments at very high level. So what we can say since 2024, the presidents of both countries have been confirming not only the strategy of this project, but explicitly, they've agreed to elevate this initiative and turn into a high-level political mandate. And this is in a major role for all the energy authorities. And we've had bilateral meetings throughout the year. The last one was made -- held in September. When it comes to that mandate and commitment, the next topic required to make a project like this is regulatory. And what's happened so far, I think you've seen in the media that both -- regulators of both countries enacted an agreement, which basically determines the frame in which we can develop the harmonized scheme. We're working together to have specific definitions and particularly to determine the interconnection, keeping in mind what was enacted in 2011, which will have some amendments. That's something we're working on. And thirdly, has to do with the technical studies made on this matter. As we've said in other calls, the basic studies have been completed. And now we are making an assessment, especially in Colombia, we have the environmental impact study. We're replying from the authorities with several requirements. And in Panama, they are answering some preliminary comments that their Ministry of Environment is making, and this will be turned in, in November. The expectation with the studies completed and discussions made with the authorities to have the environmental license next year.
Mateo Toro: Thank you, Andrés, for your answer. Let's continue with the next question from Juan Felipe from Credicorp. He says, could you tell us about the schedule when it comes to your role in Energy Solutions? When do you see the changes between Transelca and Colombia? And why did you choose this business? Jorge, could you give us an answer?
Jorge Carrillo Cardoso: Thank you. There are several things here. We are waiting for an authorization from the CREG, and it's a proceeding that shouldn't have any problems. And we hope to have news from this soon. No matter when we get the answer from the CREG, again, we're optimistic because it's well backed technically. This decision will be materialized as of January 1, 2026. So after that date, we'll have a single company for transmission that will represent the assets of Transelca and ISA, and it's called Intercolombia. So Transelca, in this case, will change its mission and will prepare to be our vehicle or executor for new energy businesses. Why in the Atlantic Coast? Because that's the base of Transelca. It's in Barranquilla, but also the Atlantic, it's a hub of renewable energies today in Colombia. So it made strategic sense to place it there. The business began already, although it's part of the 2030 strategy, and it was ratified in the 2040 strategy. Now we are presenting offers to different clients, and we are waiting to announce them to the market on a short-term basis.
Mateo Toro: Thank you, Jorge. Let's continue with the next question from [ Simón Díaz ]. He says, thank you for the information. Although the levels of leverage are at optimal -- are optimal, what do you expect from the company's debt level? Jaime?
Jaime Falquez: Thank you, Simón, for your question. It's important to highlight here that we have access to all of the financing sources, and that opens opportunities to keep financing ourselves in all the markets because we have a lot of access to the capital market. And this gives us alternatives of terms that adjust to the profiles of the different projects that we'll be financing. Also, we have the chance to finance ourselves in the currency of the revenues in each of the geographies. And along with the financing growth, we have operations to handle debt, and we'll be anticipating the maturities to always have an amortization profile that's healthy and proper. We're closing operations of refinancing in the capital market this week in Peru, we'll see operations in Chile and the different geographies that will always allow us to have a healthy profile for financing. Indeed, in terms of the balance, less than 10%, I would say, 7% of the total debt is current. The rest is long term.
Mateo Toro: Perfect. Jaime, thank you. Next question from Simón Díaz. Could you give us an update on the ISA's businesses in Peru? Mr. Melguizo, could you give us a hand with this?
Gabriel Melguizo Posada: Yes. Thank you, Mateo. And thank you for the question. Well, in Peru, we are doing well overall. You know that we are incumbent in electric energy transmission with a long infrastructure of energy transmission and with a global performance. Now if we look at projects, there's one that's very important that we're building right now, which is known as the 12 Yapay, which goes from Tocache to Celendín and from Celendín to [ Trujillo ]. Those are -- that's a substation. It's a project of about 1,000 kilometers, about $1 billion worth. And it's a project that right now is being built in terms of designs and contracting. In Tocache-Celendín, we completed the environmental impact studies at Celendín [ Trujillo ], we will present the study in the first quarter of 2026 with the resolution of a new environmental conservation area that is part of the phase -- the first phase. So you can say that this one is one of the main projects of transmission in the region. It's firm. And we also continue with the other projects like [ Grupo Uno ]. So we're doing very well in Peru in transmission. Thank you so much for your question.
Mateo Toro: Gabriel, thank you for your answer. And with this question, we end the Q&A session. We'd like to thank you so much for joining us in this presentation of the earnings call of the third quarter of ISA and its companies. Again, thank you. See you soon. [Statements in English on this transcript were spoken by an interpreter present on the live call.]